Operator: Marianne [ph]. Welcoming you to the ING's First Quarter 2023 Conference Call. This conference is being recorded. Before handing this conference call over to Steven van Rijswijk, Chief Executive Officer of ING Group, let me first say, that today's comments may include forward-looking statements such as statements regarding future developments in our business, expectations for our future financial performance, and any statement not including historical fact. Actual results may differ materially from those projected in any forward-looking statement. A discussion of factors that may cause actual results to differ from those in any forward-looking statements is contained in our public filings, including our most recent Annual Report on Form 20-F filed with the United States Securities and Exchange Commission, and our earnings press release as posted on our website today. Furthermore, nothing in today's comments constitutes an offer to sell or solicitation of any offer to buy any securities. Good morning, Steven, over to you.
Steven van Rijswijk: Good morning, and welcome to our first quarter of 2023 results call. I hope you're all well. And as usual, I'm joined by our CFO, Tanate Phutrakul and our CRO, Ljiljana Cortan. And I'm pleased to take you through today's presentation. After that, we will take your questions. We started 2023 with a very strong quarter in both our retail and wholesale business, by keeping focus on our customers and delivering value and demonstrating stability in their water turbulent time for the banking sector. We continue to record organic growth and add another 106,000 primary customers, we choose ING for our superior customer experience. And this is supported by our digital-only mobile-first strategy, as evidenced in the largest share of mobile-only customers.  Another achievement was a growing fully mobilized, to help our wholesale banking clients transition to a more sustainable business model. At €22 billion the volume mobilized was up by more than 25% compared to the first quarter of 2022. In our P&L, we continue to see the benefits of the current rate environment, both on our retail customer deposits, and our wholesale payments and cash management business.  This comes on top of the structurally higher fee base, a strong performance on total income, a year-on-year growth of 23%. For the quarter, we realize the strong 13% ROE, increasing our four quarter rolling average ROE to 9.7%. And all of this has enabled us to announce an additional distribution in the form of a €1.5 billion share buyback, which will kick off tomorrow.  We accomplished all this in another exceptional quarter. Although honestly, there has not been a dull moment since I became CEO almost three years ago. And I'm proud that our performance has been strong throughout these years and I'm confident, we will continue to deliver value. This confidence underpins to my belief that we have the right strategic focus and affordance like balance sheet with a strong funding and liquidity profile, which provides a robust foundation to build on. Before we go on to the financial results, I want to spend some time on these topics.  Slide three shows our strategic priority and focus on 2023. Our one priority is to deliver a superior customer experience, a key differentiator for customer growth. Our priority is sustainability where an important aim is to support our clients and our transition to more sustainable business model. A superior customer experience means easy, relevant, personal and instance. And a key enabler for this is a seamless digital delivery with minimal human intervention. And this requires straight through processing of customer journeys. Getting a mortgage is an important customer journey, where being quick and predictable can be more important than price.  Increasing the level of STP, straight-through processing, helps us with that. For example, in Germany, we have reduced the time to yes for brokers from four to two days. In Italy, we improved all aspects of the mortgage process with a faster time to yes and time to cash and the higher first-time right. Streamlining how we interact with our customers is another important element of our customer experience as an increasing part of that interaction is through Chatbots we use. And we also use AI to make an interaction more effective and a more personalized experience. While KYC foundation is in place. Now the focus is on how we can be more effective and efficient. And aside from combining efforts with other banking supervisors, the focus is on working smarter internally. For example, improving the assessment and documentation of multiple individual transaction alerts for one single client which broadens the view of a client's behavior and increase the number of alerts that can be handled by one specialist. On female representation last year, we set a target of at least 30% by 2025 for our top 400 leaders and have extended that target to at least 35% by '28. To reach that, we've also set a target to increase the share of women in the group of around 5,000 employees just below top management from 27% at '22 to at least 30% by 2025. In sustainability, the financing of renewable energy is an important focus area. As the shift to renewable energy needs to grow faster, we set a target on new loan growth for renewable energy. And in 2022, this book grew 10%, and we aim to continue these growing trends. We combine this with further restricting the financing of new oil and gas fields by extending the existing restriction for upstream to the infrastructure activities that unlock new fields. Finally, we worked to rollout scope of Terra. And like we have done for steel, we are part of a working group to develop a framework for aluminum. On oil and gas, we are developing metrics and targets for mid and downstream, and we will cover an additional part of the value chain by including trade and commodity finance in our reduction targets in 2024. Then to our strong funding and liquidity profile on Slide four. On the funding side, 60% of our balance sheet consists of customer deposits. The vast majority comes from our retail customers who keep €549 billion in deposits with ING. And this is a highly granular deposit book as it represents a large retail customer base spread over 10 countries. 70% of these deposits are insured, forming a stable basis, which has been steadily growing over the years. More details can be found in the appendix of this slide deck.  As you can see from the recent NII development in a positive rate environment, our deposit base has a material embedded value that will support our revenues in the coming years. On liquidity side, our group LCR stood at 134% on a four-quarter rolling basis and at 137% at the end of the first quarter of '23. And these ratios exclude any local liquidity surpluses that are not transferable across border and are based on a sizable high-quality liquid asset book HQLA of €187 million. And in addition to HQLA we have large amounts of readily available ECB eligible retained assets and other non-HQLA liquid assets bringing the total level of available liquidity resources to €286 billion -- sorry, €268 billion. In combination with our strong and stable deposit book, we feel very comfortable with this level of liquidity. And then moving to Slide five. Over the past years, we have built a solid track record of delivering an attractive return for our shareholders. ING continues to be a strong investment case as the best European bank with consistent strategy execution, income growth, discipline on expenses and strong asset quality. And combined with our strong capital position, we are in a position to return capital to our shareholders, including the share buyback we announced today, our shareholder returns for 2023 already stands at an attractive 8%. Slide six shows our financial targets for '25 and our first quarter '23 performance. On fee growth in daily banking, we see further room to increase or introduce fees. In investment products, the continued growth of accounts is a strong base for fee growth when market confidence improves and this confidence will also support growth of lending fees. Higher fees will support also income growth, though for '23, the main driver will continue to be liability NII. And while there are some uncertainties which central bank rates, deposit tracking and customer behavior, the tailwind from liabilities will continue. We expect total income growth of more than 10% for 2023 with lower growth in '24 and '25 reflecting the flattening of the curve. And this income growth will support an improvement of our cost-to-income ratio. On the cost side, we see the pressure from high inflation, and we continue to invest in our business and to execute our strategy, which would bring benefits in the longer term. On our CET1 ratio, we intend to move our target CET1 ratio of around 12.5% through our 50% payout of resilient net profit, combined with additional distributions in roughly equal steps. And our return on equity, with the targeted development of the cost-to-income ratio are low through the cycle risk costs and a CET1 ratio target of around that 12.5%, we have confidence we will reach our targeted 12% ROE by 2025. Now we're going to move on to the first quarter results on Slide eight. The first quarter of this year showed a strong performance of our pre-provision profit. When excluding volatile items and regulatory costs, pre-provision profit was up 31% year-on-year and 11% higher quarter-on-quarter. And I will address the underlying P&L lines in the following slides. Slide nine shows the continued strong development of NII. This was driven by liability NII, reflecting rate increases, limited deposit tracking and a continued deposit inflow. The positive impact was also clearly visible in Wholesale Banking with our Payments and Cash Management business benefiting from higher interest rates. In Lending NII, we saw year-on-year pressure on mortgage margins due to rising interest rates as client rates generally track higher funding costs for the delay as well as declining income from prepayment penalties. Quarter-on-quarter, this effect stabilized and lending margins slightly decreased or increased. Furthermore, on both comparable quarters, we saw the impact of a temporary shift of NII to other income in treasury and financial markets. In treasury, this reflected activities to benefit from prevailing favorable FX swap interest rates differentials, while in financial markets, this was due to the impact of rising rates on hedge positions. And as mentioned on the previous slide, the boost in other income was further driven by financial markets, benefiting from good client flow and market volatility. Excluding the net TLTRO impact in the Polish mortgage moratorium, our net interest margin for the quarter increased by 11 basis points to 159 basis points, mainly reflecting the higher NII on liabilities. Slide 10 shows net core lending growth. And we are pleased to continue to support economic growth and our clients in meeting the demand across our businesses and regions. In retail, mortgages continue to grow, although at a lower pace, reflecting an overall slowdown of demand driven by uncertainty in higher interest rates, higher net core lending and business lending was mainly visible in Belgium. In Wholesale Banking, loan growth was visible in lending. This was more than offset by lower utilization in working capital solutions and lower lending volume in trading commodity finance, reflecting lower commodity prices. Going forward, with still heightened macroeconomic uncertainty we expect loan demand to remain subdued.  Net deposit growth was €1.3 billion due to retail and mainly reflecting inflows in Poland, Spain, Belgium and Germany, partly offset by an outflow in the Netherlands mainly due to operational payments made by our business clients and an internal shift from savings to asset under management from our private banking customers. Asset under management further increase driven by external flows. And Wholesale Banking recorded a small outflow, visible in financial markets. Turning to fees on Page 11, which showed resilience despite uncertainty continuing to affect the appetite for both investments and lending compared to a very high fee level in the first quarter of '22, fee income was down year-on-year. Daily Banking fees continue to grow this quarter by 13%, and this reflected growth in primary customers, the increase in payment package fees and new service fees. Lending fees were lower year-on-year, mainly due to lower demand for mortgages. For investment product fees, we continue to see the effect of lower stock markets and less trading activity, although the opening of new investment accounts continued and AUM increased. Sequentially, fees were up reflecting growth in financial markets and higher fees in investment products and daily banking and retail. Lending fees in Wholesale Banking were lower after a strong fourth quarter.  Turning to Slide 12. Excluding regulatory costs and incidental items, operating expenses were up, mainly visible in staff costs due to the full year effect of high inflation coming in via salary indexation and CLA increases. This included a 10% -- 10.5% automatic indexation in Belgium and an accrual for the CLA increase in the Netherlands. And furthermore, there was a one-off energy payment in Germany and a more front-loaded accrual of variable remuneration in Wholesale Banking. Next to this, legal provisions and energy costs were at elevated levels in the first quarter. We also to -- continue to invest in our business, and this includes marketing campaigns as well as digitalizing customer journeys. And we do this to ensure we keep increasing the number of primary customers, thereby expanding the base for future growth. At the same time, as mentioned at the start of the presentation, investing to be more digital, to increase SAP and to make processes smarter, helps us to be more efficient and to reduce our cost to serve. And taking all this into account and with the inflation rate declining, we expect cost growth for 2023 to be more subdued than the year-on-year development suggests. Regulatory costs were down year-on-year, mainly due to a lower SRF contribution and a quarter-on-quarter increase reflects the full payment of several annual contributions due in the first quarter of the year. Then we move on to risk costs on the next slide, which were €152 million this quarter or 9 basis points of average customer lending and this included a €67 million increase of management overlays, bringing the total of management overlays built up at the end of Q1 to €521 million. Risk costs in Wholesale Banking included a further release of €118 million of Stage 2 for our Russian book, reflecting a further reduction of our Russia-related exposure, which we will continue to bring down. We saw some collective provisioning in our retail banking, which included additions related to model adjustments and consumer lending while we also booked an additional provision related to Swiss franc indexed mortgages in Poland. The lower Stage 2 ratio mainly reflected the decrease in Russia-related exposure and the Stage 3 ratio remained low at 1.4%. All in all, a very benign quarter in risk costs, and we remain comfortable with the quality of our loan book. Slide 14 shows our CET1 ratio, which increased to a very strong 14.8%. CET1 capital was €600 million higher, mainly due to the inclusion of 50% of resilient net profit for the quarter. Furthermore, RWA were €4.1 billion lower including minus €1.4 billion of FX impacts. Credit risk-weighted assets were down when excluding FX impacts, reflecting an improvement of the overall profile of our loan book and of course, the lower Russia-related exposure. Operational risk-weighted assets were flat while market risk-weighted assets were slightly higher. On our distribution plans, the final 2022 dividend was approved at our AGM and has been paid out on the 5 May and in line with our ambition to converge our CET1 ratio ambition, we will distribute an additional €1.5 billion in the form of share buyback, which will start on the 12 May, which means tomorrow. And this additional distribution will bring our CET1 ratio to 14.4% on a pro forma basis, and I'm pleased that we take this additional step in returning capital to our shareholders and optimize our capital structure. We expect to further update the market on distribution plans at the third quarter 2023 results presentation. To wrap up with the highlights. Overall, in a turbulent quarter, we have delivered a very strong start of 2023. Our people make a big effort every day to build a superior experience for our customers and to support the transition to a more sustainable society, which see these efforts positively reflected in primary customer numbers and volumes mobilized in transition finance, and our financial results show that accelerating NII momentum is a clear tailwind while fee income has proven to be resilient. Expenses reflected the inflationary pressure, especially on staff costs, but also on our continued investments to realize our strategy. Our capital position remained very strong, and we have announced an additional €1.5 billion distribution. Going forward, I'm confident that we will continue to deliver robust financial results and successfully execute our strategy. And with that, I would like to go and move on to Q&A. Operator?
Operator: [Operator Instructions] The first question comes from Rahul Sinha from JP Morgan.
Rahul Sinha: Good morning, Steven. Good morning, everybody. Thanks very much for taking my questions. I guess the first one is around capital distributions. Thank you for the new slide on the withholding tax mechanics and also further clarity on the next decision date. I guess my question is around how do you decide the size, this is the right size of the buyback? Just it looks like you seem to have a good prominent that. Your capital ratio is not changing much even after a 50% dividend accrual and the share buyback. So are you expecting a rebound in RWA growth or capital consumption later in the year? I guess, we're all related? And the second question is just on costs. You had 55% costs in Q1 and obviously, you're not reiterating this 55%, 56% that you said last quarter for the year. I was just wondering how to read this? It looks like it's a bit easier now for you to get to your 50% to 52% and is that why you're not really reiterating the 55%, 56% because you're already in the lower end? Thank you.
Steven van Rijswijk: Okay. Thank you, Rahul. I will answer the question on costs. And Tanate will answer the question on the decision on how we decide the size of share buybacks or capital distributions. On cost, I said during the presentation, we saw the quarter-on-quarter cost rise with 10.7%, that had to do with, first of all, the fact that there were salary indexations and CLA that came in this quarter, but we're not there basically in that level in the first quarter last year. Two, we had a number of specific cost items that we either move forward in terms of already CLA agreements that we have for later this year and some other costs in Wholesale Banking as well as a legal provision that we took. So we took some additional costs in that sense in the first quarter. And we continue to invest in marketing and in our digital experience [technical difficulty] and extrapolate that over the year, but I want to reiterate that point. We've given a cost guidance of 55% to 56%, but actually, we do not currently see the 55% as a floor. That should give you some guidance.
Rahul Sinha: Thank you.
Tanate Phutrakul: Rahul, on capital, I think we look at three things. The most important of which is the level of capital generation that our franchise determines. That would be the first factor in looking at capital. The second, we look at stress testing, making sure that we capture all the macroeconomic situation into our numbers in terms of determining the level of additional distribution.  And then we look at any [technical difficulty] we have split our capital management in terms of providing this clarity in Q1 and that we would give, based on certain calibration of outlook, another announcement in Q3. So that's a bit how we do the decision-making around the level of capital distribution.
Rahul Sinha: Thanks so much. And RWA growth, are you expecting a rebound?
Tanate Phutrakul: At this point in time, no. The level of negative risk migration despite the situation remains benign.
Operator: The next question comes from Jon Peace from Credit Suisse.
Jon Peace: Thank you. Good morning, everybody. So my first question is on NII. I'm not sure what you would consider a normal level of the sort of FX swap revenue transfer between NII and other operating income. But it feels like underlying NII was probably at least € 100 million above the reported number. So given lending margins are stabilizing, could we think of annualizing to sort of 16.4, 16.5 as an NII level that would be reasonable for this year?  And my second question, please, is just on the cost of risk. Are you seeing Stage 3 defaults still running at a very low level in Q2? So could we imagine you might again be well below the through-the-cycle rate for this quarter? Thank you.
Steven van Rijswijk: I'll do the one on NII and then Ljiljana will take the cost of risk. Look, as you know, we have given a guidance that we will increase our revenues compared to last year of more than 10%. We -- of course, we've seen the tailwind from the interest rates. And indeed, you point out to the revenue that we booked in other income, which indeed is therefore, sort of a deflation of interest income because that was moved through P&L lines, so as a matter of fact, interest income, if you correct for that anomaly, if you will, would have been higher.  And at this point, we continue to see that tailwinds. And basically, the question is, when do interest rates also move or savings rate move, that also is very much linked to higher loan demand, which would then therefore, create more competition, but that's currently not what we're seeing. So currently, we -- at this point, we continue to see that tailwind continuing.
Ljiljana Cortan: Good morning. On the risk cost, I think Steven already said, we see very modest and benign overall risk cost for the quarter. And if we are looking specifically the structure at the S3 risk cost, we do see €197 million, as we've presented. However, less than 40% of that amount relates to individual as risk costs. Coming back to your questions. No, we do not see an increased number of individual defaults. On contrary, this quarter has been characterized by a very low number of individual defaults in wholesale banking, while in retail banking as well we do not see a structural deterioration in our major portfolios. Also, if we are looking at delinquency rates, days overdue, but as well unlikely to pay. What is also important to note is why such increase in S3 is clearly, we have had a few of the model updates for some of our regular mortgage and consumer loans, IFRS models, but as well, we have had the impact of the index mortgages in Retail Banking in Polish with respect to the Swiss franc mortgages. So all in all, a very good quarter and no signs of deterioration on that part.
Jon Peace: Thank you.
Operator: The next question comes from Johan Ekblom from UBS.
Johan Ekblom: Thank you. If we can just come back to the NII and these temporary effects. I guess two things I'd like to understand. One, the full negative amount we see in Q1, the €271 million, I guess, transfer between the lines, should we expect all of that to reverse into NII at some point? And then maybe if you can just highlight the mechanics for what would cause that to transfer back to NII to start and what's the duration? So do we need to wait for ECB rates to stabilize or to fall? And how quickly would that unwind? And maybe just to come back on the cost side. When we talk about the regulatory costs this quarter, you flagged both the lower SRF contribution and something that sounded like temporary effects in Belgium. When we think about risk costs going forward, is the kind of run rate we saw last year, Q2 to Q4, the right level to think of? And -- or will we see some of these effects in Belgium, et cetera, reverse in the coming quarters?
Steven van Rijswijk: I guess this is for Tanate.
Tanate Phutrakul: Thanks, Johan. Just to be clear, there are certain market opportunities, which are linked to interest rate differentials between different currencies. So you can see this transference between other income and interest income to be completely linked, right? So that would mean if we unwind these position, those would normalize. So you should be able to see that the normal run rate of replication and lending of that 234, it should be added to our numbers for Q1. So it's related to each other.  With such trades, with such opportunities will continue into Q2. It really depends on, again, market opportunities and the interest rate differential that you see in the markets today. So I would say that we would give clarity in Q2 what these effects are, but that's why we flagged it out because these opportunities had a material impact in Q1. Then on the regulatory expenses, yes, you do see a reduction of €124 million, something that we want to flag is, of course, that the SRF contribution will likely be finished by the end of 2023 and that the DGS contribution would be targeted to be filled by the middle of next year of '24. We have given some guidance during our Investor Day that we expect regulatory expenses in this bucket to be down by approximately €400 million starting in 2025 from '21 levels, and we stick with that guidance.
Johan Ekblom: So just maybe to come back on the NII side. I mean the -- when we look at -- is there a normal kind of historical run rate of these trades or is it roughly a zero kind of net impact over time? Just to try and gauge kind of how big the extraordinary component is?
Steven van Rijswijk: Well, I think the extraordinary component we mentioned exactly that is €234 million in NII. And...
Johan Ekblom: Okay. So CRO is the long-term average.
Steven van Rijswijk: Yes. Indeed. Yes.
Operator: The next question comes from Amit Goel from Barclays.
Amit Goel: Hi, thank you. So I just wanted to come back in terms of the broader revenue kind of picture then. So the greater than 10% revenue growth, I mean, clearly, given the level of revenue growth in Q1, I guess, partially driven by this effect that you just were talking about, it still means that the actual kind of revenue trajectory in the rest of the year doesn't need to be very strong to achieve it. Just want to get your sense of where you could see revenues kind of getting to this year. And also just in terms of the NII development, again, relative to the kind of information you gave at Q3 in terms of the sensitivities based on rates at that time. Just curious how you're seeing that based on current rates and your current expectations?
Steven van Rijswijk: Okay. Thank you, Amit. I will do the question on revenues and Tanate will give an answer on the NII trajectory and you refer, I think, based on the model or I think the replication levels given at Q3 or the examples we gave.  NII. Yes, well, I mean, we said -- I don't want to nitpick on words, but we said greater than 10% for 2023, which we still stand by. And as you said, I think it was based, I think, on a previous question that what we -- how we clearly benefit from a tailwind in interest rates, we continue to see that currently because part of the pressure to increase interest rates will depend on the loan demand in markets or the high loan demand in markets, and that's currently what we do not see. So we continue to currently see benefits from these interest rate differentials and that supports the greater than 10% revenue growth. Tanate?
Tanate Phutrakul: Amit, if you go back to look at our presentation in Q3, I would say that the shape of the interest rate curve is more beneficial to us than it was then. So a much sharper short-term rates increase compared to then. And I think in terms of the simulation that we did then, that curve was based on a simulation of roughly around 30% tracking speed for 2023 and what we see in Q1 is that the tracking speed is significantly below that number and how it would look the rest of the year, it really depends on competitive pressure and it depends on demand for deposits to fund our loan growth. And so far, we see that competition level has been relatively benign.
Operator: The next question comes from Benoit Petrarque from Kepler Cheuvreux.
Benoit Petrarque: Yes. Good morning. So the first question is on the current deposit margin at 114 bps, which is well above the cross cycle average. So the question is, yes, are you confident you can sustain this level also kind of in the medium term? Or is that fair to assume that there will be a bit of a normalization at some point towards the end of the year? And also on the deposit side, do you see any indication? I think you talked about the pass-through rate but more on the shift out of current accounts into savings or term deposits, do you see any customer behavior on that side? And then the next question will be on the cost side. So I get the message that, obviously, we should not extrapolate Q1, but okay, now you have a CLA on the Dutch staff. Belgium inflation seems to slow down. I mean the clarity -- there's more clarity on the wage front. Do you think you could maybe be a bit more specific in terms of cost growth for this year -- I mean on the full year? I think in the past, you would try to provide a bit more granular levels in terms of expected cost growth in terms of guidance. But could we get a bit more details on -- and basically details and how you see cost growth for the full year, a bit more specific than what you guided, please?
Steven van Rijswijk: All right. So I will give both questions to Tanate then.
Tanate Phutrakul: When you talk about the deposit margin, I think we've given guidance before that over the long term, we see deposit margin around 100 basis points, right? And we're sitting at 114, so from that perspective, we are flying a little bit higher than what we normally do. And to address, do we see any shifts? We don't see that material shift in terms of fixed-term deposits. There are some, but not that material. What we do see as more of a trend line is the switch from current account into savings account. It is small for the time being, but it's beginning to increase compared to Q4. So that's a bit of a flavor around deposit margin. And to reiterate the point, we don't see competition for deposits being very heated in light of fairly muted demand for loan growth. In terms of cost, maybe a bit more guidance. If you talk down from the 10.7% increase in cost, we have had in Q1, quite a sizable legal provision and also high marketing spend. Those would account for roughly around 2.5%. So the run rate in Q1 on a normalized basis is closer to around 8% cost growth. Where would we go from here? Kind of indexations on salaries are coming down, energy costs are coming down and so that bodes well for in terms of the trend line. But if you say where we are in terms of Q1 cost projection, it's around 8%.
Operator: The next question comes from Benjamin Goy from Deutsche Bank.
Benjamin Goy: Hi, good morning. Two questions, please. So first, on new customer growth. It seems like you were a bit more on the front foot. Just wondering a bit more color on the markets and whether attractive savings rates are the other main driver of that? And then secondly, you mentioned so far subdued loan growth. Historically, you mentioned some pockets like Asia or U.S. that were better. Wondering whether there is some differentiation or whether you see essentially rather subdued demand essentially across all your lending book? Thank you.
Steven van Rijswijk: Yes. Thank you, Ben. I think that on customer growth, I mean, that was a little bit over 100,000 this quarter. A significant part came from Germany, as we've already said earlier, but I think also our CEO in Germany said we want to grow our customer base there to 10 million in the next three years. So we invest well and the digital experience as well as in our marketing, and that is paying off by seeing the growth there. But also in other markets, we continue to see primary customer growth. And in the end, what we want to do, and that's why we call them primary customers is not only to make them customers. And as you may know, we currently have this action currently in the German markets that we started in April in the end, we want to convert those new customers and primary customers because we do more with these customers and the customers are more profitable. So that's how we target them. In terms of loan growth, whether there's any differentiation in different markets, not really. We see -- I think that what you do see is mortgage levels in the markets and talk about the markets in general are down 30% to 50%. But on the other hand, the stock stays stable, so therefore, you see our book being relatively stable. At some point, that mortgage market will return and wholesale banking more on, let's say, term lending and syndicated loans with a little bit less in working capital and trade commodity finance, that's based on lower commodity prices. And that has influenced the book, but there's not a particular regional element in there.
Operator: The next question comes from Flora Bocahut from Jefferies. Please go ahead. 
Flora Bocahut: Yes. Good morning. The first question is on revenues. I'd like to come back to this guidance for this year, where you expect revenue growth of over 10%. I know it's only Q1, so the beginning of this year. I know that guidance doesn't have a maximum, so technically stands. But if we annualize the Q1 run rate, you're actually going for about 20% growth this year versus last year. So the question is really why do you keep that guidance unchanged? Or another way to ask it, is there anything when we look into the Q1 results today, that you think will not be sustainable or could turn more negative before the end of this year? And the second question, still on revenues. The revenues that you booked in other income this quarter, but you say are actually NII related, could you clarify that these come actually on top of the replicating portfolio contribution guidance that you had made? Thank you.
Steven van Rijswijk: I think the answer on the second question is yes. And the answer on the first question is, yes. Look, we cannot predict the future. We can only report on what we currently see. And for us to continue to benefit in a similar way that we have benefited from increasing interest rates so far means that the level of tracking should remain relatively limited to what we see in the past. And Tanate already said that based on what we presented in the third quarter last year, we gave a few examples how tracking could develop itself. It is lagging. And as a result of it, we have been benefiting more. And an element of that tracking would increase would be that there would be higher lending demand, which would spur more need for savings, for example, or deposits. And that we currently do not see. So at this point in time, we see continued benefit in the same level, and we need to see how that will further develop.
Flora Bocahut: Okay. Thank you.
Operator: The next question comes from Kiri Vijayarajah from HSBC. Please go ahead. 
Kiri Vijayarajah: Yes, good morning, everyone. A couple of questions from my side. So firstly, coming back to core lending group slide, which, if I look at it annualized, is running at less than 1%. And given last year, you added over 0.5 million new primary customers, and I think it was another 0.5 million a year before that as well. So my question is how come all of that kind of primary customer growth isn't translating into better lending volumes, particularly when I look at the retail and challenges growth segment on that slide, if you call lending growth? And then linked to that, with the deposit margin recovering quite nicely, I was wondering, is that feeding through more meaningfully into rising customer acquisition costs as you add these extra primary customers, particularly in those markets where maybe some of your competitors might be a bit more deposit-driven in terms of their growth strategies that, that's pushing up your customer acquisition costs across your retail markets? Those are my two questions, please.
Steven van Rijswijk: Okay. I'll give these questions to Tanate.
Tanate Phutrakul: I think maybe addressing your second question, Kiri. If you look at the positive negative interest rate, acquisition of customers using deposit was a negative proposition from a P&L perspective. Given the curve, given the current absolute rates from the ECB, customer acquisition using deposits has turned into a positive proposition. And that's why you see promotions that we do in a number of markets, whether Poland, Germany or Spain. And that's what is driving our primary customers.  And in terms of lending, we continue to acquire lending customers, but it's just demand given where the rates are, is more subdued, right? So that's basically it. But we have accelerated somewhat additional marketing spend during the course of Q1 to increase our drive of primary customers. So that is the case.
Kiri Vijayarajah: Okay. So that ramp-up in marketing flat for 1Q. Are you anticipating more of a pickup than on the lending, retail lending side maybe for the back end of the year?
Tanate Phutrakul: It's demand-driven. I think the market, I think, during the course of '23, we just need to adjust to these new rates environment. And when that adjustment takes place, then it will be reflected first in GDP, consumer confidence and feed through into bank lending.
Kiri Vijayarajah: Fair enough. Thank you.
Operator: The next question comes from Andreas Scheriau from Goldman Sachs. Please go ahead. 
Andreas Scheriau: Hello. Thank you for taking the questions. So I'd like to come back to deposits, please. What you see on your most rate sensitive customers doing, are they moving towards variable savings accounts, time deposits or money market funds or other investment solutions. And if you could just speak a bit about any difference that you see across regions, I think that would be helpful? And then the second question is on the size of the Eurozone retail replicating portfolio. Has that -- is the size of that changed materially since the last time you gave an update? And then following on from that, are you expecting to adjust the size of that hedge going forward? And how you thinking about this in general? Thank you.
Steven van Rijswijk: Okay. I'll give the second question to Tanate, and I'll do the first question. Yes, you asked -- so first of all our deposits have increased again. This time with €1.3 billion. And you talk about money market funds, but that's a U.S. phenomenon, we don't have that here in Europe, and people can't use -- individuals can use not to buy money market funds. So there is some shift from current accounts to savings, as Tanate has already said, but that's relatively limited. And we do see some shift to asset under management. So that is what we see. So we see our asset under management books increase, not yet the number of trades, but we do see the number of clients and accounts increase. That is the main shift that's currently taking place but not so much in any other funds that you talked about.
Tanate Phutrakul: And then there's -- for the second question, from what we disclosed before the size of our Eurozone deposit replication, it's roughly about the same. Maybe the level of deposits is somewhat higher than perhaps in Q4, Q3. And then in terms of interest rate, whether the replication is -- or adjusting the hedges, we dynamically change our hedges all the time to reflect prevailing rates, prevailing customer behavior. So that's a dynamic process that we do constantly.
Andreas Scheriau: Okay. Thank you very much.
Operator: We will now take the next question from Anke Reingen from RBC.
Anke Reingen: Hello. Can you hear me?
Steven van Rijswijk: Yes, hi. We can hear you. 
Anke Reingen: Sorry, apologies. Thank you for taking my question. Just two, please. On the fee growth, you're slightly below your target range. And clearly, Q1 last year was a high level, but do you think like in order to move higher up in the range, more supportive capital market and wholesale leveling to pick up again or is there -- or could there also be a headwind from especially on payment packages given the higher rate environment? And then secondly, just on this treasury impact in Q1. I mean it's like an absolute number, so it's quite sizable. I'm just -- I mean if you can just provide some comfort in terms of the size of the positions that the treasury is ticking? I mean I guess it's also because of the magnitude of the rate changes, it's quite meaningful, but it if you just seem quite large in terms of impact that you can provide some from color here? Thank you.
Steven van Rijswijk: Yes. Thank you, Anke. I will answer the first question and Tanate the second. A couple of remarks on fees. If you -- in general, we want to grow our primary customers because if we have more primary customers, these customers we know will do more with us and also do more in commission products. Then we are active in a number of markets where there are, let's say, local incumbents who may feel more pressure to increase prices on commission products and then we can follow. And there are also markets in which we are more a challenger, where we have started only in a limited way to levy fees for services that we provide. So there is room there. And then we are extending our services. So if you look at our number of investment accounts, we only started a couple of years ago with apps on investment accounts, and we're seeing good growth in a number of countries, and I've mentioned Germany, n number of times. Yes [technical difficulty] currently more subdued given the uncertainties in the market, but the number of accounts has again increased. And once the confidence in the market returns, we can see and we will continue then to see an uplift in investment income. In payment packages, we gradually have increased payment packages in a number of the markets, but we've also seen that the number of transactions have increased as well. And lending in wholesale banking, we've seen a very good quarter in the fourth quarter because of a number of larger syndicated loans that is a bit lower now. But once the market is rebounding, we'll expect that also to pick up.
Tanate Phutrakul: And Anke, on the trading opportunities. I just want to reiterate the point we operate well within our market risk tolerance. So there's more why this thing is highlighted at the moment, is the accounting asymmetry that you see in Q1 that instead of matching these positions in the net interest line, just given the fact of this trading strategy, it happens to be split between other income and interest rates. And as Steven mentioned, is really unique to this trading strategy, and it doesn't affect our overall NII replication of our savings book. And if these trading strategies were unwound, then it will both disappear.
Anke Reingen: Okay. Thank you.
Operator: The next question comes from Giulia Aurora from Morgan Stanley.
Giulia Miotto: Hi, good morning, everyone. This is Giulia from Morgan Stanley. Thank you for taking my question. Just a follow-up on the liability margins. ING has indicated that this will remain the main tailwind and the key income driver for this year. Yes, the Netherlands screen is one of the fastest for the deposit pricing across Europe. Can you share what you are seeing on the ground in terms of repricing pressures from competition in the Netherlands as well as other markets such as Belgium and Germany? And how close do you think we are to the peak NII?  And the second question on overlays. So you have made a top-up in the overlays this quarter? And how should we think about the overlays going forward? Do you think you can expect further top-ups to come in the next quarters? Or are you comfortable at these levels of the overlay buffer?
Steven van Rijswijk: Okay. Ljiljana takes the question on risk cost, I on liability margin. Like I said, so the speed of the tracking rate is amongst others linked to the speed of growth in loan demand. And currently, we see an environment whereby loan demand is relatively subdued. You see that in mortgages where I said that depending on the market and that goes for all the large markets in which were active, the current mortgage production is between 30% and 50% lower than we typically see. But yet, the stock is there. So therefore, that you see some stabilization and also in wholesale banking, the loan demand is relatively subdued. So it will depend on the pick of loan demand and economic growth. That's -- therefore, there's more demand in loans in it but also then also have an impact on deposits required. So that's one element of it. So it depends on pickup of loan demand, which we currently don't see. The second element I want to say now, like I highlighted before, in a number of the markets we are a challenger, and that mean that we sometimes do actions like you have seen in Germany, we're more on the front foot. And in some markets, we're more incumbent with a more staled market environment. So there, we are more of a follower that you see in markets like, for example, Belgium.
Ljiljana Cortan: On the overlays. Good morning. Yes, the total amount of the overlay in the first quarter is a bit above €500 million, precisely €521 million. And yes, it has topped up. However, the top-up come primarily from the model update, so IFRS model update that are to be implemented in the second quarter. When it comes to the real risk overlays, I would say, we see quite constant or even a bit decreasing situation having in mind that the macroeconomic forecast are more positive at this point of time that have been once we have set this overlay. So for the time being, we are quite confident about the size of these overlays. And as you see also for some of the quarters already, we are at a quite stable level. 
Giulia Miotto: Thank you. 
Operator: The next question comes from Farquhar Murray from Autonomous. Please go ahead. 
Farquhar Murray: Good morning, all. Two questions from me. Just coming back to the approach taken in sizing the €1.5 billion capital return announced today, it feels like a simple repeat of the €1.5 billion we saw at 3Q '22, and that's clearly consistent with equal steps. But if we look at the pro forma CET1 ratio of 14.4, we're not really seeing the downward trajectory we need to get to the 12.5% target. Can I just ask, is that a reflection just of the lag nature of the conversation with ECB and maybe a blowout quarter? And can we expect a resumption of the downward trajectory in the pro forma ratio looking perhaps at a 3Q update? And then secondly, you actually mentioned the recalibration as part of this exercise. Is that a recalibration of the forward scenarios and what are the kind of key changes you've made there? Thanks.
Steven van Rijswijk: So let's put it this way. We have said we want to move to around 12.5% by the end of 2025, roughly equal steps. We have repeated that statement. And when we apply for certain levels to -- for share buybacks or capital distributions, we do have a couple of months in advance. And the circumstances change and maybe a bit more positive, a bit more negative, but we can't every second change than these levels. These are then -- and we want to do that in a gradual way.  But of course, if, let's say, our profitability would turn out to be higher and therefore, our capital will turn out to be higher, we would calibrate also the capital plan, and that could then also mean that we would calibrate those capital distributions. But that depends on where we are at that point in time with the targets to go back to around 12.5% in 2025 in roughly equal steps. With that -- sorry, go ahead, Faruhar.
Farquhar Murray: And then with regards to the recalibration, I've seen just macro being slightly better than it was three months ago?
Steven van Rijswijk: Well, so I said we then need to depending on how things go. And if the outlook is better or if it is worse, on profitability and capital, we then would indeed need to calibrate. That's how we would do it.
Farquhar Murray: Great. Thanks guys. 
Steven van Rijswijk: Thank you very much for your time. Thank you very much for listening to us. Thank you very much for your good questions. I will leave -- we will leave you for now, but I'm sure you can also be in touch with our Investor Relations team and I'm looking forward to speaking to you again in three months' time. Thank you. Operator?
Operator: Thank you. That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.